Operator: Good morning, ladies and gentlemen. Welcome to the North American Construction Group Conference Call regarding the fourth quarter ended December 31, 2024. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, there will be an opportunity for analysts, shareholders and bondholders to ask questions. The media may monitor this call in listen-only mode. They are free to quote any member of management, but they are asked not to quote remarks from any other participant without that participant’s permission. The company wishes to confirm that today's comments contain forward-looking information and that actual results could differ materially from a conclusion, forecast or projection contained in that forward-looking information. Certain material factors or assumptions were applied in drawing conclusions or in making forecasts or projections that are reflected in the forward-looking information. Additional information about those material factors is contained in the company's most recent management's discussion and analysis, which is available on SEDAR and EDGAR as well as on the company's website at nacg.ca. I will now turn the conference call over to Joe Lambert, President and CEO.
Joe Lambert: Thanks, Jenny. Good morning, everyone, and thanks for joining our call today. I'm going to start with our operational performance in the fourth quarter of 2024 before handing it over to Jason for the financial overview, and then I'll conclude with the operational priorities, bid pipeline, backlog expectations for 2025 and our continued path for increased growth and diversification before taking your questions. On Slide 3, our Q4 trailing 12-month total recordable rate of 0.39 was a continuation of the improvement seen in Q3, and these full year 2024 results remain below our industry-leading target frequency of 0.5. Key safety initiatives in the fourth quarter included implementing inspection and observation programs in Australia, improving heavy equipment operator mentorship programs, developing new field level risk assessment tools, expanding the green hand training program and launching a new safety leadership survey to increase management awareness and provide gap analysis for further areas for continued safety improvement. Rest assured that from the front line to our boardroom, we are always looking to improve our safety and we will relentlessly pursue our principal cultural value to get everyone home safe. On Slide 4, we highlight some of the major operational and financial improvements in 2024. In 2024, we achieved record annual revenue, fueled by strong growth in Australia and in Q4 saw MacKellar Group achieve its highest revenue quarter ever. Our major Fargo infrastructure project achieved peak annual revenue of over $150 million and progressed past the 60% completion mark with over 20% being completed in the second half of 2024 after rain-impacted first half. The year ended with record backlog of $3.5 billion after major contract wins, including a four-year $500 million regional contract extension in the Canadian oil sands, $100 million mining and site development project for a New South Wales copper producer and a two-year $125 million heavy civil construction contract in the Canadian oil sands. As I mentioned in my letter to shareholders, I was particularly pleased to see the win at the New South Wales copper mine as our MacKellar team not only increased our geographic and commodity diversity, but also demonstrated we can compete and win unit rate contracts, which are typical in the markets where we see significant growth opportunity in other resource-rich Australian states. Slide 5 highlights the year one achievements of our MacKellar acquisition. Growth, diversification, high utilization driving high returns on capital and providing opportunity to place underperforming assets from Canada are just a few areas where our Australian business has exceeded expectations. We see this Australian contractor market as second to none and believe we can continue this positive trend for many years to come. On Slide 6, our Australian acquisition was a major driver in our 2024 growth and will continue being a primary contributor going forward. But our overall five-year growth trend and 20% annual growth rate demonstrate consistent improvements in a business culture always looking to improve. During this time frame, we won and commenced our Fargo flood diversion project, which was the largest infrastructure project in company history, commenced and completed our joint venture with Nuna at the Ontario Gold Mine, which was the largest project in Nuna history, we acquired DGI in Australia, ML Northern in Canada, expanded our in-house maintenance capabilities, including about $100 million worth of second life rebuilds of our largest assets and added to our technology with tools such as our equipment telematics and real-time machine health and production monitoring. This five-year trend demonstrates not only can we replace work as completed, but we can win more than we consume and consistently improve profitability. I will talk more about this later with details on our outlook and future expectations. Moving on to Slide 7. Our Australian equipment fleet, which in Q4 now includes a couple of dozen assets shipped from Canada and about 20 growth assets required for contract wins earlier in the year, maintained a consistent monthly utilization over 80% and total Q4 utilization of 82%, which keeps us right on track to achieve our target range of 85% in Australia early in 2025. Our Canadian fleet utilization improved to 54%, building up the Q3 achievement of 51% and the Q2 low of 42%. The Canadian fleet utilization achieved monthly utilization of 60% during the quarter, and we expect to be back into the 60s through our busy Q1 winter season and achieve our target range of 75% by the end of 2025. Achieving Canadian utilization targets will require continuing to build off our project wins and with the increased revenue in Q4 and expect to further increase here in Q1 of 2025, and we're working diligently to achieve these project wins for the latter half of the year. With that, I'll hand it over to Jason for the Q4 financials.
Jason Veenstra: Thanks, Joe, and good morning, everyone. Starting with Slide 9, the headline EBITDA numbers of $104 million and 27.8% margin were driven by both a fifth consecutive successful quarter from Australia since the change of control on October 1, 2023, but also a strong operational quarter in the oil sands. I'll get to it on the next slide, but operations posted combined gross profit margin of 20%, which requires effective operations in both Australia and Canada. We included a comment here about our Oil Sands business, which, although down from last year's top line revenue, is posting more consistent quarter-to-quarter results than in the recent past and generated an over 10% increase from the third quarter on continued improved site conditions and steady usage of the equipment. The improved consistency is due to the nature of the contracts in the oil sands, which are now focused on more steady time and material and rental arrangements. Moving to Slide 10 and our combined revenue and gross profit and for the first time, now has MacKellar quarter-over-quarter in the results. MacKellar and DGI, which we combine as Australia in our results, were up $31 million on a quarter which was impacted by rains in December, but during which MacKellar posted another impressive utilization number at 82%. This top line positive variance was offset by lower revenue quarter-over-quarter in the oil sands, but as previously mentioned, was importantly up from the third quarter by 13%. Our share of revenue generated in the fourth quarter by joint ventures was down from last year as consistent scopes at the Fargo-Moorhead project were offset by lower scopes being completed within the Nuna Group of companies. Our reported combined gross profit margin of 14.6% was significantly impacted by two items, which we have adjusted for in the adjusted EBITDA margins. First was a claim that we extinguished as part of our four-year regional contract and second was the expensing of certain shipping and logistics costs in the quarter for the equipment that was sent to Australia. Excluding these items, combined gross profit of 19.7%, which reflects the strong underlying operational quarter we had. Margins benefited both from the operations in Australia, which were 22% in the quarter and the Canadian operational personnel and fleet posting solid margins of 18% as they benefited from consistent and stable operating conditions. Moving to Slide 11. Q4 EBITDA of $104 million beat last year. As mentioned, the 27.8% margin we achieved reflects an effective operating quarter and was almost 3% higher than last year's margin. This margin level is indicative of where we see our business operating at with cumulative EBITDA margin since the MacKellar acquisition now at 27.0%, which covers over $1.8 billion in revenue and an eventful 15-month time frame. Included in EBITDA is general and administrative expenses of $13.7 million in the quarter and equivalent to 4.5% of reported revenue, which is slightly above the 4% target we set for ourselves. G&A costs in Canada, in particular, have been lowered in light of lower revenue being generated in the oil sands. Going from EBITDA to EBIT, we expensed depreciation equivalent to 14.0% of combined revenue, which is consistent with the third quarter and reflects the depreciation rate of our entire business. When looking at just the wholly owned entities of our heavy equipment in Australia and Canada, the depreciation percentage for the quarter was also 14.0% of revenue and reflects the lower percentage of the Australian fleet as well as the fourth quarter operations in the oil sands, which require high idle time during the cold weather. Adjusted earnings per share for the quarter of $1 reflects all the positive factors mentioned with interest and taxes generally consistent with last year. The average cash interest rate for Q3 was 6.7%. Moving to Slide 12. I'll briefly summarize our cash flow. Net cash provided by operations prior to working capital of $62 million was generated by the business, reflecting EBITDA performance and net of cash interest paid. Free cash flow of $50 million was driven by the strong EBITDA quarter, offset by the typically lighter capital spending in the fourth quarter. Moving to Slide 13. Net debt levels ended the quarter at $856 million, a decrease of $26 million in the quarter as free cash flow was directed to both growth assets and debt reduction. Of the $856 million, $448 million or roughly half is denominated in Australian dollars and is naturally hedged with the heavy equipment we own in Australia. Net debt and senior secured debt leverage ended at 2.2 times and 1.7 times, respectively, which decreased in Q4 on free cash flow. Of note, of course, is that subsequent to year-end, we had $73 million of convertible debentures convert into shares, which when applied to the December 31st balances, result in net debt of $783 million and net debt leverage of 2.0 times. With that, I'll pass the call back to Joe.
Joe Lambert: Thanks, Jason. Looking at Slide 15. This slide summarizes our priorities for 2025. In 2025, the company will prioritize enhancing safety systems with a focus on consistency and training for frontline leaders. Key objectives include increasing equipment utilization, advancing telematics, including a rollout in Australia and maintaining a strong focus on customer satisfaction to secure contract extensions and expansions. On Slide 23 in the supplemental information, you'll see a Texas thermal coal mine contract and the Queensland thermal coal mine contract that ended in 2025. Both contracts are being retendered with the Texas contract award in the second half of the year and the Queensland contract, which includes both an extension of potential expansions of services being awarded in the first half of the year. We're confident in our ability to retain and expand these contracts because of our incumbency, our positive client relationships and our safe low-cost provider status. Additionally, the company plans to diversify geographically in terms of resources beyond Queensland and Alberta, optimize business processes and reduce costs through the ERP system in Australia and expand external maintenance component rebuild services for third-party customers. On Slide 16, the bid pipeline remains over $10 billion with continuing and consistent strong demand in Australia and modestly increasing demand in Canadian mining projects. The oil sands region is expected to see consistent project demand driven by higher projected barrel production, while infrastructure opportunities are also on the rise, especially in the United States. As I mentioned in my letter, we see infrastructure works growing to about a quarter of our business over the next several years. And with that strategic focus, we will be adding some more infrastructure talent and experience to our team to bid, win and execute these projected projects. Moving to Slide 17. The company is a record-setting contractual backlog of $3.5 billion with strategic partnerships in the mining, resource and civil sectors such as those with the Mikisew Cree First Nation, Kitikmeot Inuit Association, Red River Valley Alliance and ASN Constructors. Despite over $1.1 billion of work being executed in 2024, new additions of $1.7 billion have further strengthened the backlog and continue to demonstrate not only our ability to win work, but to grow our backlog and continue to diversify both geographically and by commodity. On Slide 18, we've provided our outlook for 2025. The 2025 outlook remains aligned with previous expectations, driven by existing contracts in Australia and Canada. The per share metrics have been adjusted to the new share count after a recent debt conversion and the growth capital adjusted for deferred growth asset deliveries and project scheduling in Australia. Key financial metrics for 2025 include combined revenue of $1.4 billion to $1.6 billion, adjusted EBITDA of $415 million to $445 million, adjusted EPS of $3.70 to $4.00, sustaining capital of $180 million to $200 million and free cash flow of $130 million to $150 million and growth capital of $65 million to $75 million with a net debt leverage target of 1.7, down from the 1.8 after the previously mentioned debt conversion and growth spending. Half-year and quarterly splits of EBITDA are expected to be weighted slightly towards the second half of the year with Q1 contributing slightly less than Q2 and Q3 being the largest quarter as our typical high Q1 in oil sands has less influence on the overall business. Our Australian business having typical high Q1 weather impact and not achieving the full benefits of the growth capital additions until the second half of the year and our Nuna and infrastructure construction works, which achieved typical peaks in Q3. Our half-year and quarterly splits in EPS are expected to follow the same trends with increased weighting towards the second half of over 55%, Q1 contributing about 20% with Q3 again the largest quarter. The difference in the weighting on EPS from EBITDA is due to the front-loaded equipment repair costs and increased depreciation in our Canadian business unit from high Q1 equipment demand and increased equipment idling during cold weather. On Slide 19, the company's diversification journey continues with Australian operations expected to generate 60% of earnings before interest and tax in 2025. The earnings composition by contract type includes 65% from time and material, 20% from unit rate, 10% from equipment rental, and 5% from fixed-price contracts. Mining services make up 80% of the revenue with civil construction contributing 15% and equipment and component sales 5%. Geographically, 60% of the earnings came from Australia, 30% from Canada and 10% from the US. The Canadian oil sands region is expected to contribute about 25%. In future quarterly decks, we plan to provide longer-term projections and insights into how we expect to continue to grow and diversify our business, including our target to grow our infrastructure business to 25% of earnings and our continued commodity and geographic diversification in Australia. Lastly, regarding capital allocation, we remain committed to paying down debt and further strengthening our balance sheet. We believe our free cash flow will provide ample opportunity to continue to invest in shareholder-friendly ways while still being able to pay down debt and pursue acquisition and expansion opportunities when those returns warrant investment. In closing, and as I said in my letter to shareholders, we have great expectations for our business in 2025 and going forward and believe we're in the best position we have ever been to continue to grow and diversify with improving profitability and with positive free cash flow to drive increased shareholder benefits. With that, I'll open up to any questions you may have.
Operator: [Operator Instructions] Your first question is from Yuri Lynk from Canaccord Genuity. Your line is now open.
Yuri Lynk: Hey, good morning, guys.
Joe Lambert: Good morning, Yuri.
Yuri Lynk: Just want to dig in on the 2025 outlook in Canada. Utilization is still struggling. So wondering what you need to win to hit your numbers? Or do you feel you've got that in the backlog already? And kind of related to that, 12, 18 months ago, I thought the outlook for non-oil sand mining awards in Canada was pretty bright, but we continue to wait for some success there. Can you just update us on kind of the bid funnel as it pertains to commodities outside of the oil sands?
Joe Lambert: Yeah. I think as far as our guidance, Yuri, we expect the utilization to stay similar to what it was last year with a little bit of increased demand in oil sands, drops off in the second half of the year a bit. To get to our 75%, which would put us over guidance, I would say, in Canada. That would mean winning some work outside. We still have active tenders in Ontario, in particular. Or the worst-case scenario, we would prioritize it work in Canada, additional work in Australia where we would have shipping, but that wouldn't necessarily affect 2025. And our final resolution, and this is predominantly a smaller equipment would be to sell them if they're underutilized and we can't place them.
Yuri Lynk: What are you -- I mean, there's obviously been a large step-down in your oil sands business. I mean, is it deferred work? Is it work on to competitors? Is it in-sourced work? Can you just give some color as to what's going on in that market?
Joe Lambert: I can hypothesize, Yuri. It dropped about 30% last year. We're right about the same levels this year as last year. We look at that as the consistent level we'll project going forward. As far as the 30% drop and whether it was in-house or deferred, it's very difficult to say. It could be a combination of both. It's a very long cycle. These are long-life mines. There could be deferral for four or five years. we're just going to plan on being where it is, and it's very strong demand on the big truck side. It's still low demand on the civil construction works from small trucks, and those are the ones we look to take out of oil sands and place somewhere else. But we just take the demand as it is. And if there's an upside in the future with increased production, the barrel production in oil sands projected to go up significantly year-on-year, then we just see it as an opportunity.
Yuri Lynk: Okay. Last one for me. Just the two adjustments you made out of gross margin. I guess the shipping costs are self-explanatory, a bit much higher than I thought it was going to be. But what happened with the claim? And has that been put to bed?
Joe Lambert: Yeah. It was just negotiated as part of our four-year contract extension. So we resolved it with that. And so we dropped the claim and we negotiated into our contract.
Yuri Lynk: I'll turn it over. Thanks, guys.
Joe Lambert: You bet, Yuri. Thank you.
Operator: Thank you. Your next question is from Aaron MacNeil from TD Cowen. Your line is now open.
Aaron MacNeil: Hey, good morning, all. Thanks for taking my question.
Joe Lambert: Good morning, Aaron.
Aaron MacNeil: Maybe to build on Yuri's question, it looks like you've added a large project in Australia in the active procurement phase. More generally, things seem to be going pretty well there. Can you give us a bit more detail in terms of how you might mobilize equipment to the extent that you win incremental awards? [Technical Difficulty] in Australia. And specifically, you're sort of bumping up against that 85% utilization target. Canada utilization remains below target. So, is there an appetite for further asset transfers? Or is the stuff that's still in Canada too small to sort of be effective in that work scope?
Joe Lambert: No, it's -- the work in Australia would fit our fleet in Canada, and we don't have long-term commitments on a lot of that fleet, be it big or small. The smaller assets fit into a lot of the Western Australia opportunities we see. And even the most recent copper mine win we had in New South Wales, that was 100-ton trucks. And we placed some 240-ton trucks at a coal mine there as well. So I think you hit the nail on the head there, Aaron, that if we can get 85% utilization in five-year committed contract terms, that kind of return on assets. Yeah, I do think we'll continue to see assets going from Canada to Australia with wins of contracts like that. It makes great sense for us as far as return on the capital. You do incur a little bit of short-term pain in the shipping time frame. I mean, we would love to have it engage in long-term contracts closer by to where we don't have that loss of time when we're mobilizing between jobs. But certainly, with the equipment we sent there and our replacement the contracts, if we can do more of that, I think it makes great sense for the business, both from return on capital and long-term stability.
Aaron MacNeil: I guess, not to put too fine a point on it, but would there be like -- would it be better to sort of lease or buy new equipment to source that work? Or is it better to continue to transfer underutilized?
Joe Lambert: I think our -- yeah, it would be better to transfer underutilized assets and put them into an area where you can get high utilization long-term commitments. And frankly, if they're looking for newer assets, we can take the ones we have and rebuild them -- second life rebuilds back to new standards if that was the need. So we'd absolutely look to employ our existing assets before we went out and bought any growth assets.
Aaron MacNeil: Got you. And then maybe one for Jason. You outlined the diversification journey on Slide 19. Can you speak to any progress, if applicable, on how you might be thinking about North American's GICS code and maybe more superficially about the corporate name, just given that the GICS code and the name don't really reflect the business fundamentals anymore?
Jason Veenstra: Yeah. With the filing of yesterday, we will be engaging in a GICS review. We feel on Slide 19, that does show a pretty diversified business, and we will be making the argument for a re-categorization to reflect that. So, I'm looking forward to that actually next week, we are scheduled to have those conversations. So having this trailing 12 audit was an important milestone. And so that is done effective yesterday. And so those conversations will start next week. And Joe can comment as well, but we continue to debate the name change. It's one of those decisions that's tricky. We clearly have a name that doesn't fit our 60% Australia-generating business. But I would say stay tuned for that.
Aaron MacNeil: Got you. Thanks, both. Happy to turn it back.
Operator: Thank you. Your next question is from Maxim Sytchev from National Bank Financial. Your line is now open.
Maxim Sytchev: Hi, good morning, gentlemen.
Joe Lambert: Good morning, Max.
Maxim Sytchev: Joe, I was wondering if it's possible to get any color in relation to -- I mean, I think there was some inclement weather in Australia recently and how we should be thinking about those impacts for the upcoming Q1. So yeah, just maybe any color in terms of how Q1 is trending specifically to that.
Joe Lambert: Like I said in my comments, Q1 is only about 20% of our year in the financial side of things. It's quite a contrast. I know you've been around with us a long time, Max, quite a contrast when we are 95% of oil sands and Q1 used to be a third of the business at times. What drives that is that Q1 is actually the highest weather impact quarter now because it's the biggest weather -- really the only weather quarter other than the tail end of Q4 in Australia. And we do get some impacts from the extreme cold in Alberta and oil sands -- the busier oil sands Q1 is now tempered by the fact that it's only 25% of the business. And then the other thing that affects that in the second half of the year is the growth assets we added last year, some of which have timing slipped into this year. We don't get a full-year effect of those. They start ramping up as those growth assets come in. And so the second half of the year, we'll just see more influence from that. And then we also -- if you look at our summer seasonal businesses, which is typically the Nuna work up north and the Fargo-Moorhead project, that's why we peak in Q3. So we go from that 20% low up to a peak in Q1 to a peak in Q3 and then it backs up slightly in Q4.
Maxim Sytchev: Yeah. Okay. Makes sense. And then your comments around 25% of the business to be infrastructure levered over time, how should we think about the capital intensity of the business? Is that still going to be very similar? And we should be thinking about kind of Fargo-type projects? Or I guess, any thoughts on that would be helpful.
Joe Lambert: Yeah. I mean, my expectation would be very capital-light. It's part of why we like the business. The Fargo project is standalone on its fleet requirements. We haven't put any assets in there. It's very modest on capital and a positive cash flow very quickly. All of what's attractive about that marketplace. And then I think there's a growing demand for our kind of practical construction mentality and doing these kind of -- the type of contracts that the progressive design builds and construction management at-risk contracts, I think, fit the way we manage operations very well. And yeah, I think that overall, we see a high demand in infrastructure projects, especially more that fit what we do with these climate resiliency. And with that low capital intensity, that's absolutely the reason we're pursuing them that much more, Max.
Maxim Sytchev: Yeah. And I guess, is it going to be both Canada, Australia? Or is there sort of more focus on a specific geography?
Joe Lambert: Yeah, predominantly US and Australia, but certainly some in Canada. But I think the biggest market is the US, and I think Australia is like just after that.
Maxim Sytchev: Okay. That’s helpful. And then maybe just one quick question for Jason, if I may. In terms of Fargo, because correct me if I'm wrong, it was peak revenue generation in 2024. So how should we think about kind of the curvature of that normalization as the year progresses in 2025?
Jason Veenstra: It's about 10% down from 2024. So it's still a big strong year in 2025. We might not get to $150 million, but $140 million type of top line we expect out of Fargo this year.
Maxim Sytchev: Okay. Very helpful. And then is it possible to get -- the last question, any incremental thoughts on sort of NCIB quantum timing, kind of trigger points? Anything you can add there? Thanks.
Joe Lambert: We've been active in the NCIB. I think we'll continue to be at these share prices. I would expect we're kind of at a low level of activity. And as our cash flow improves and depending on where share price is, I would expect it to increase if we're staying the same as it is now as our cash flow improves during the year.
Maxim Sytchev: Okay. That's great. That's it for me. Thank you so much gentlemen.
Operator: [Operator Instructions] Your next question is from Adam Thalhimer from Thompson Davis. Your line is open.
Adam Thalhimer: Hey, good morning, guys.
Joe Lambert: Good morning, Adam.
Adam Thalhimer: One of my questions was what you just answered, the Fargo going from, call it, $153 million down to $140 million. Do you think -- is there an offset maybe at Nuna or somewhere else within the JV line to where you can put up JV revenue growth this year?
Joe Lambert: Yeah, I think it's -- we've got some modest increase potential there. And they're bidding actively right now for a lot of summer work. So we'll have a better view on that, I think, after the Q1 close and into Q2.
Adam Thalhimer: Got it. And then I'm just curious, high level, kind of what you've learned from Fargo and what types of projects you'd be looking for in the US going forward?
Joe Lambert: No, I think we've learned that the -- how much good partners count. We've had some good partners there. And we've learned a lot about executing that work and dealing with the authorities in the US, the permitting, the regulatory side. It was a very good experience for us because that project has national because it's on a river. It has two different states because it splits the border of two states. It's two different counties and two different cities. So it really gave us a lot of good experience into how regulatory works from municipalities up to the federal side of things. And I think we've just been in it longer and understand it and have been around our partners and talk to others in the US infrastructure world and feel more comfortable doing that kind of work. We look for -- still look for stuff that's more earthworks, civil construction that we've done before. But I don't think we'd be scared to get into other areas with the right partner and the right experience. We're not going to jump into building skyscrapers or anything like that. But we've done roadworks in the past. Concrete is not a huge expansion of our skill base and talent base. So I think most of the infrastructure work that isn't vertical construction would fit us pretty well.
Adam Thalhimer: Got it. Okay. And just last one for me. Curious how you see backlog trending this year because it looked like your larger bids were more concentrated in early '26.
Joe Lambert: That's the start date of those projects. So we would still look to win those in 2025, but they'd be in backlog before then. So I think we've got some good opportunities to continue the growth with some potential expansions, predominantly in Australia and extensions, early extensions of contracts and some civil and mining opportunities, in particular in Ontario right now. Yeah, I think there's good opportunities to continue to build on that.
Adam Thalhimer: Great. Thank you, Joe.
Joe Lambert: You bet. Thank you, Adam.
Operator: Thank you. Your next question is from Wil Wutherich from Wutherich Company. Your line is now open.
Wil Wutherich: Hi, guys. So the one word I have not heard this whole call is tariffs, which is kind of the topic of discussion on virtually every other conference call. So address that. I mean, I presume some heavy equipment purchasing or moving thereof might be faced with this. But anyhow, if you can sort of put together any potential impacts you might see from tariffs?
Joe Lambert: Right now, Wil, we haven't felt much and not to say we won't in the future, but it doesn't -- most of the stuff we -- our assets, we rebuild our own or we've already ordered them and they're on their way. We don't see a lot of huge asset purchases coming from the US over the next 12 months. We haven't -- obviously, nothing is affecting Australia, which, like we said, is over 60% of our business and nothing is affecting our US operations that we have seen. So -- and even when we look at the Canada stuff and the tariffs on oil, it's 10% versus 25%. And we certainly haven't seen any dramatic changes in plans as of yet from our clients and the producers. Not to say we'll be immune from it. But right now, it doesn't feel like it's going to have a material effect on us. And I guess we'll know more about that on April 2, I guess.
Wil Wutherich: Right. And the other question I have is Australia. You referred to the first quarter as being a weaker quarter, in particular, because of a usual pattern in Australia. How about this year in particular? How has the first quarter weather in Australia looked overall? And what might this impact be?
Joe Lambert: We just went through cyclone Alfred. It has had a significant impact in our operations more on the corporate side. We had rains in February, which affected our operating sites more than the cyclone Alfred did. It's just Q1 is always their low quarter because it's the most impacted by rains. Generally, the rest of the year is unimpacted by weather other than possibly early cyclones in like late November, early December. But it's very similar to Northern Alberta is like our cold weather we usually get in January and February. The big rains in Australia are usually January and February as well. So that's why our Q1 is most impacted. And then the rest of it is just they're still getting growth assets delivered. We just started up our [Technical Difficulty] project at the copper mine in New South Wales and then those growth assets coming and ramping up. So that's what makes the later quarters in the second half of the year higher.
Wil Wutherich: Thank you.
Joe Lambert: No worries. Thanks, Wil.
Operator: [Operator Instructions] And your next question is from Sean Jack from Raymond James. Your line is now open.
Sean Jack: Hey, good morning, guys.
Joe Lambert: Good morning, Sea.
Sean Jack: So just one for me. It's important to note that there's been some new opportunities in Australia in the bid pipeline. I just wanted to check in and see how you're seeing the competition level for bids there. And I expect to know, but has there been any change in sentiment there with some of the noise in the global markets right now?
Joe Lambert: We still see very strong demand. There is strong competition. But we will say it's very disciplined competition. We're very pleased in winning that copper mine in New South Wales and getting that kicked off. I think it's going to bode well for us in getting into areas like Western Australia where unit rate work is better, more prevalent. So we still -- we see strong demand. We do see competition, but it's very disciplined competition. No one is acting desperate. And so we think that with our safe, low-cost structure, we'll have a very good opportunity to win that work. And they're continuing to -- we continue to see early potential renewals. Actually, if you look at the bid pipeline, the big blue dot in the middle of the graph in the second row, that's actually an early extension opportunity. So we continue to see contracts that have early renewals and expansion opportunities and long-term commitments. And so we see that marketplace is continuing to be strong and our relationships with our clients and our capabilities to expand beyond our current operations and continue to diversify geographically and commodity-wise. Like I said, I think we're in the best place we've ever been, Sean.
Sean Jack: Great to hear it. That's all from me, guys.
Joe Lambert: Thanks.
Operator: Thank you. There are no further questions at this time. This concludes the Q&A section of the call. And I will pass the call over to Joe Lambert, President and CEO, for closing comments.
Joe Lambert: Thanks, Jenny. Thanks again, everyone, for joining us today. We look forward to providing the next update upon closing of our Q1 2025 results.
Operator: Thank you. This concludes the North American Construction Group conference call on fourth quarter 2024. The conference call has now ended. You may all disconnect your lines.